Operator: Welcome to the Beazer Homes fourth quarter fiscal 2008 earnings conference call. Today’s call is being recorded and will be hosted by Ian McCarthy the company’s Chief Executive Officer. Joining him on the call will be Allan Merrill, the company’s Chief Financial Officer and Bob Salomon, the company’s Chief Accounting Officer. Before he begins Leslie Kratcoski, Vice President of Investor Relations will give instructions on accessing the company’s slide presentation over the Internet and will make comments regarding forward-looking statements.
Leslie H. Kratcoski: Welcome to the Beazer Homes conference call on our results for the quarter and year ended September 30, 2008. During this call we will webcast a synchronized slide presentation. To access the slide presentation, go to the investor home page of Beazer.com and click on the webcast link in the center of the screen. Before we begin you should be aware that during this call we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. Such risks, uncertainties and other factors are described in our SEC filings. Any forward-looking statement speaks only as of the date on which such statement is made and except as required by law we do not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. New factors emerge from time-to-time and it is not possible for management to predict all such factors. Ian McCarthy our President and Chief Executive Officer and Allan Merrill, our Executive Vice President and Chief Financial Officer will give a brief presentation after which they will address questions you may have for the duration of this one hour conference call. We are also joined by Bob Salomon, our Chief Accounting Officer. In the interest of time and allowing everyone a chance to ask questions, we do kindly request that you limit yourself to one questions and then one follow up. I’ll now turn the call over to Ian McCarthy.
Ian J. McCarthy : Before we begin our discussion of the results we released this morning and the current business environment, I would like to make a few brief comments on the company specific issues that we continue to work through. As previously disclosed, Beazer Homes and our subsidiary Beazer Mortgage Corporation are under investigation by the US Attorney’s office in the Western District of North Carolina and by other federal and state agencies concerning matters that were the subject of our audit committee’s previous independent investigation. From the outset we have been fully cooperating with the ongoing external investigations. In September we reached a settlement with the SEC and intend to attempt a negotiate a settlement with other government authorities with respect to these matters. We also continue to defend the company’s interest in the related civil litigation. To date, three cases have been concluded following dismissal by the courts. At this point I would like to confirm that with respect to ongoing investigations, litigation and possible future settlements of public filings to date speak for themselves and until definitive resolutions have been reached we cannot provide any further comment beyond the details included in those filings. We remain absolutely committed to our enhanced compliance program and our code of business conduct and ethics. Furthermore, during the fourth quarter we continue to actively work on remediation efforts to address the material weaknesses previously identified in our ICFR or internal control over financial reporting. I am pleased to report that as of September 30, 2008 there were no remaining material weaknesses under our ICFR. Turning to the current business environment, conditions in both the overall economy and housing market were under greater pressure during our fourth quarter and have continued to deteriorate since that time. Homebuyer demand for new homes continues to be adversely affected by low levels of consumer confidence, falling home prices, extensive new and existing home supply and reduced access to mortgage financing. In recent months, this very difficult environment has been greatly exacerbated by turmoil in financial markets, heightened concerns about the global economy and the substantial rise in the number of home foreclosures. Against this backdrop we have been focused on generating liquidity, reducing overhead and direct costs and limiting investment in land and unsold home inventory. We continue to take actions on all of these fronts. As it is increasingly clear, the declining home values are at the core of the current economic crisis, we believe that home price stabilization needs to be an aim of any economic stimulus package passed by congress. While we expect that there will be housing stimulus at some point, the timing is currently unclear. In the meantime, and until there are signs of stabilization on the horizon, we continue to diligently focus on controlling what we can best position ourselves in the current environment and we maintain a very disciplined and cautious operating approach. As evidenced by our strength and cash balance over the past fiscal year, our efforts are helping us weather this unprecedented housing environment while positioning Beazer Homes for a return to profitability upon the market’s eventual recovery. Despite the many challenges we have faced, I would like to cover what we believe was some very meaningful accomplishments during the past fiscal year. Completion of a multiyear financial restatement; entering in to a new market arrangement with Countrywide Bank of America for delivery of mortgage origination services to our customers; generating positive operating cash flow for the fourth quarter and full year enabling us to end the fiscal year with $584 million in cash, almost 30% higher than the year ago level. We achieved this despite paying down approximately $100 million in debt, incurring significant costs related to our restatement and related investigations and absorbing a significant loss from operations. Successful completion of $156 million in non-core asset sales; a successful conclusion of an amendment to our revolving credit facility modifying or eliminating many restrictive covenants; continued reductions in both overhead and direct costs and further reductions in both unsold home inventory and land. Despite these accomplishments, our financial results for fiscal 2008 are a reflection of the extreme conditions we and our peers continue to face. While the losses we have incurred are certainly a disappointment to us, in these difficult times maintaining and enhancing a sound financial and liquidity position remains our top priority. At the same time, we continue to implement near and long-term strategies aimed at returning to profitability and positioning ourselves for the eventual market recovery. Strategies for returning to profitability include increasing sales absorptions per community; continuing to pursue direct cost reductions and efficiencies in our business, reallocating capital and resources within our geographic footprint and differentiating our homes through our smart design and esmart initiatives. Now, let’s review the financial results for the fourth quarter. For the fourth quarter we experienced a total revenue decline of 35% from the same period in the prior year. This decline was driven by a 45% decrease in home building revenues offset by an increase in land sales revenue. The decline in home building revenues resulted in decreases in both closings and average selling prices year-over-year. These factors negatively impacted gross margins compared to the prior year. Inventory related impairment charges of $59 million and a deferred tax asset valuation allowance of $400 million contributed to a net loss from continuing operations of $12.32 per share compared to a loss of $3.95 per share in the prior year. Before moving in to further detail, I should point out that we have changed our reporting segments to correspond with realignment of management, operational and financial reporting lines and our decision to exit a number of markets during fiscal 2008. The new segments are west, east, southeast, other home building and financial services which represents title services. This slide summarizes which states are in which segments going forward. Those operations located in markets the company has exited or is in the process of exiting are included in the other home building segment to enable investors to more clearly track our performance in the continuing markets. For the fourth quarter, home building revenue declined 45% due to both a 38% decline in home closings and a 10% decline in average selling price from the same period in the prior fiscal year. Home closings declined in all segments with the most significant declines in the southeast and our exit markets. Average selling prices continue to be most under pressure in the west and east segments. Net new home orders totaled 1,083 for the quarter, up from 982 in the prior year. This year-over-year increase was helped by a lower cancellation rate of 45.7% during the fourth quarter compared to 68.1% in the prior year. That 31.7% decline in net orders in our exit markets was more than offset by a 17.2% increase in net orders in markets where we are maintaining a presence giving an overall increase of 10.3% in new orders compared to the same period in the prior fiscal year. Resulting backlog as of September 30, 2008 was 1,358 units with a dollar value of $327 million representing a 54% and 61% decline from the unit and dollar backlog levels as of September 30, 2007. I’d now like to turn it over to Allan Merrill, our Chief Financial Officer to further discuss our financial results and other items.
Allan P. Merrill : First, I’d like to spend a few moments on the inventory, option abandonment and joint venture impairment charges incurred during the fourth quarter. As with our previous filings, you will find expanded disclosure as it relates to impairment charges in our 10K which we expect to file later today. Inventory impairments totaled $46 million in the September quarter. Of that amount, $39 million related to properties held for development and $7 million related to land held for sale. Impairments recorded on our held for development inventory resulted from the continued decline in the housing market that negatively impacted both sales prices and absorption rates. Impairments on held for development inventory were fairly evenly distributed across the west, east and southeast segments. The September quarter impairments represented 1,903 lots in 30 communities. For all of fiscal 2008, we impaired approximately 11,000 lots and 221 communities. The $7 million in impairments related to properties held for sale were primarily related to markets we were exiting. During the September quarter we also incurred lot option abandonment charges totaling $13 million. Finally, we also further reduced the carrying value in our interest in joint ventures by $6 million. Our continuing investment in joint ventures stands at $33.1 million. Our land position as of September 30, 2008 totaled 39,627 lots, 73% of which were owned and 27% of which were controlled under options. This represents a reduction of approximately 14% and 36% from levels as of June 30, 2008 and September 30, 2007 respectively. We achieved these reductions through the abandonment of lot options, asset sales which totaled $156 million for the fiscal year and of course, our own home closings. This has led to a significant shift over the year in the waiting of our land holdings toward owned land. Excluding property held for sale, over 40% of our remaining owned lots were either finished lots or lots upon which home construction had commenced. Less than 2% were in the form of raw land. We continue to exercise caution and discipline with regard to land and land development spending. For fiscal 2008 we spent $333 million on land and land development compared to $824 million in fiscal 2007. Based on current sales paces we have relatively few active communities that will require significant land or land development spending in 2009. In light of this and with our intense focus on maintaining liquidity our current expectation is that land and land development expenditures will be further reduced in fiscal 2009. We continue to maintain strong discipline with respect to new home starts and speculative inventory. As of September 30, 2008, we had 408 unsold finished homes and 576 unsold homes under construction representing meaningful declines of 53% and 63% respectively from year ago levels. As of September 30, 2008 we had a non-cash deferred tax asset valuation allowance under SFAS 109 of $400.6 million following an assessment of the recoverability of our deferred tax assets. These assets consist primarily of inventory valuation adjustments, reserves and accruals that are not currently deductable for tax purposes as well as operating loss carry forwards from losses incurred during fiscal 2008. This reserve reflects our application of SFAS 109 which requires companies to reserve against deferred tax assets when, based on the weight of available evidence, it is more likely than not that some portion or all of the deferred tax asset will not be realized. We are now in an accumulative loss position over the four prior years which, among other things, we relied upon in reaching the determination that such a reserve was appropriate. In future periods, the reserve could be reduced based on evidence indicating that it is more likely than not that a portion of our deferred tax assets will be realized. Separately, and as previously announced, we also conducted an analysis of whether an ownership changes for tax purposes occurred under Internal Revenue Code Section 382. Ownership changes under Section 382 generally relate to the cumulative change in ownership among shareholders with more than a 5% ownership interest over a three-year period. We have determined that an ownership change under Section 382 did occur as of December 31, 2007. As a result, our ability to utilize certain of our net operating loss carry forwards and certain built in losses or reductions will be limited to approximately $17 million annually in the future. Three factors will help mitigate the present value of the impact of this limitation on our future cash flows. First, net operating losses generated subsequent to December 31, 2007 are not limited. Second, the annual limitation accumulates for each year in which it is not utilized. This means we may have more than one years of losses available at the time the company returns to being a cash taxpayer. Third, deferred tax assets that convert to net operating losses through subsequent asset sales more than five years after the ownership change occurred are not subject to the limitation. Despite both the deferred tax asset valuation allowance and the determination of an ownership change under Section 382, we still expect to receive a cash tax refund of approximately $150 million in fiscal 2009 due to our ability to recognize losses for tax purposes generated after December 31, 2007. As a result of reporting the deferred tax asset valuation allowance, our tangible net worth is defined in our secured revolving credit facility agreement fell below $350 million as of September 30, 2008. Pursuant to the previously negotiated terms of the facility and effective as of the filing of our 2008 10K the facility size will be reduced from $400 million to $250 million and the collateral value of assets securing the facility must exceed 4.5 times outstanding loans and letters of credit up from 3 times previously. At September 30, 2008 we were in compliance with the collateral coverage requirements but had no additional borrowing capacity. In order to comply with the new higher collateralization requirements effective as of the filing of our 10K, we will restrict approximately $20 million in cash to sufficiently collateralize our outstanding letters of credit until additional real estate collateral is added to the borrowing base. Although we have had no cash borrowings under the facility since its inception in July, 2007 and have no current plans that would require cash borrowing, we intend to add approximately $250 million in assets to the borrowing base over the next year which should create approximately $35 million in availability after providing a return of the restricted cash. At September 30th our total debt stood at $1.7 billion, a net decrease of about $110 million from the prior year. At September 30, 2008 we had a cash balance of $584 million compared to $314 million at June 30, 2008 and $454 million at September 30, 2007. Cash provided by operating activities for the three and 12 months ended September 30, 2008 was $291 million and $316 million respectively. The increase in our cash balance year-over-year occurred despite paying down approximately $100 million in debt, cash costs of approximately $32 million related to the restatement and investigation and a further $21 million in bondholder consent fees paid. The year-end cash balance also reflected the receipt of a $56 million cash tax refund in May. In addition to our continued focus on the generation and preservation of cash, we are accurately aware of our need to reduce our leverage ratio which is increased significantly this year with the reduction in our net worth due to the combination of operating losses, impairments and the SFAS 109 tax reserve. While our efforts have generated considerable cash and we do not face significant debt repayments until 2011, we are actively studying options to strengthen the balance sheet going forward. However, it is currently our intent to attempt to resolve all of our issues with regulatory authorities before pursing any specific change in the capital structure. I’ll now turn it back over to Ian.
Ian J. McCarthy : In closing, fiscal 2008 was a very challenging year for both our company and the home building industry. At this time with further deterioration in the overall economy since our yearend, we have very low visibility in to fiscal 2009. Taking the current trends in to account along with our reduced backlog, we should realistically expect that both closings and average sales prices will be lower in fiscal 2009 and that we will again likely incur a loss for the year. In times like this, it is essential to maintain strong liquidity and I am pleased with our progress in that regard. Going forward we will maintain that keen focus on liquidity through continued reductions in both overhead and direct costs as well as in our investment in land and unsold home inventory. I’d like to express my appreciation to our many stakeholders who continue to work with us to weather the current downturn. In particular, I would like to thank all of our Beazer ambassadors for their tireless efforts in achieving our strong cash position in fiscal 2008 and who will be instrumental in maintaining our liquidity in 2009 and positioning us for a return to profitability upon a market recovery. Allan and I would now be pleased to answer your questions and I’ll ask the operator to give the instructions.
Operator: (Operator Instructions) Our first question comes from David Goldberg – UBS.
David Goldberg - UBS: First question, and I know it’s still not a lot of visibility in to next year but I’m just trying to get an idea given where the backlog is now and given where the sales pace is, I think the obvious question is can you be free cash flow neutral, maybe slightly negative, slightly positive as you look forward to next year at the current sales pace?
Allan P. Merrill : David, what I would say is we have had a singular focus on generating liquidity and increasing our cash position. We have pulled all of the levers necessary to do that. You prefaced your question with the fact that it is a very difficult time to make forecasts and so I will have to just relate back to what we said about reducing land and land development expenditures likely and our continued focus on cash generation and stop short of making any specific forecast. But, I have to say that I think our track record is very good in terms of generating and maintaining liquidity and we intend to continue to pursue that strategy.
David Goldberg - UBS: I guess a follow up question, and I’m wondering if we can get some more details and Allan thanks for the exact specifications on the $17 million per annum but I guess I’m trying to figure out is with the 382 can you just give us an idea of how much of the FAS 109 allowance that applies to and help us put some boundaries on it? I’m not sure I understood exactly all the specifications, can you just maybe go through those again and give us a way to quantify how much of the deferred tax assets that you’ve written off subject to 382 and potentially how long that’s going to take to work through those potential assets over time?
Allan P. Merrill : There’s a lot there. A couple of things, first of all we will file our K later today and I think that will be helpful but let me introduce Bob Salomon. Bob, I think can address that question in whole or in part.
Robert L. Salomon : It’s important to note that the 382 limitation and the deferred tax asset allowance are actually separate occurrences. The DTA allowance is primarily due to the impairments that have been taken in some other fixed asset type losses and JV impairment losses. As it relates to the limitation, all of our operating losses going forward after the 382 change which as of 12/31/07, any losses incurred after that are not limited. Any built in losses which are these impairments that have not turned, any fixed asset type items that haven’t turned that were taken prior to the 382 change which was prior to 12/31/07 could be limited going forward as they turned in to losses within the first five years after the 382 change. So, as an example, if $100 million or $150 million worth of losses that were in effect from a book basis prior to 12/31/07 were realized for tax purposes during the first five years, they would be subject to the $17 million annual limitation.
David Goldberg - UBS: It sounds like any deferred tax assets that were created before 12/31/07 that turn in to NOLs in the next five years subsequently would be subject to the limitation. Would that be correct?
Robert L. Salomon : That’s correct.
Operator: Our next question comes from Ivy Zelman – Zelman & Associates.
Ivy Zelman – Zelman & Associates: I wanted to just see if Ian you can tell us a little bit why and what success you’ve been able to derive with orders being better than the industry? You guys had a relatively good quarter with orders up 10%, are you doing anything that might help explain that out performance? Is there any mortgage rate buy downs that you may have offered for example or anything that’s been significant in promotions that might attribute the success? Then, any changes as it relates to your relationship with your preferred lender as a result of the required use rule that HUD passed on November 14th and the implication that it might have for your business?
Ian J. McCarthy : On the first point Ivy I would say that in these times that any slight gain we will take certainly with pleasure. It’s very good to see an uptick in our orders in the fourth quarter but in relative terms I would say they’re still quite weak. We were helped a lot by the cancellation rate being a lot better in this period than it was in the prior year. I would say there’s nothing special there. If you break it out between our ongoing markets and our exit markets you can clearly see there’s a difference in that so that our ongoing markets where we put the focus on now have definitely performed better. In this period we actually performed slightly better in the west coast, in California, Las Vegas and Phoenix. Those markets are seeing affordability come to certain levels now and I think people are taking some of those opportunities. So, I think we were pleased with that but I wouldn’t say that there was anything that I would attribute to in terms of any special promotions. Obviously, we’ve seen the market in this quarter be very tough as well. I would say that we have to recognize that everyone has experienced with the meltdown in the financial environment I think people are very much in the sidelines right now. So, I think orders for the December quarter are going to be a tough comparison for everyone. On the second point I would say that we’re still in discussions with our preferred lender there and in terms of our arrangement with Countrywide BOA and I really don’t think I can make any comments on that at this time.
Ivy Zelman – Zelman & Associates: The mortgage rate buy downs, those programs, you’re not offering anything right now?
Ian J. McCarthy : Nothing out of the ordinary, nothing that we wouldn’t normally do, no.
Ivy Zelman – Zelman & Associates: And normally what type of things are you doing just to give us examples?
Ian J. McCarthy : We don’t have any buy downs at this point. Certainly, we have to be competitive in the markets. Firstly we try and ensure the homebuyer of the differentiation of our product, that’s our whole concept around smart design and the e initiatives that we have in there. Then, we have to be competitive with the markets so I would say all that we’re doing is trying to make sure that the buyer understands what they are getting from us, the benefits they’re getting with some of the green initiatives we’ve put in there but then secondly we have to be competitive in the market and I think we have to do that just with regular incentives in terms of sales prices and the like. So, I wouldn’t say that there’s anything beyond that at this time.
Operator: Our next question comes from Joel Locker - FTN Securities.
Joel Locker - FTN Securities: I wanted to ask you about your gross margins actually, I saw they came down about 340 basis points excluding any impairments sequentially and I was just wondering it seemed like they had kind of came up in the June quarter from the March quarter and now they seem like they’ve ticked back down and I was just wondering if there was any one-time charges in those or anything like that?
Allan P. Merrill : There really aren’t any. There are clearly going to be mix issues which will affect quarter-to-quarter comparability at the gross margin line. I would say in the quarter there was a reasonable weighting of our exit markets or the other home building segment. I think you’ll see in the K some information that will allow you sort of to work through the gross margins by segment and what you’ll see there is almost 500 basis points lower gross margins in that other segment or the so-called exit markets and that clearly had an effect. There’s no question that our desire to generate liquidity probably had some impact as well but there are really no one-time or special charges to make note of.
Joel Locker - FTN Securities: As modeling is that a good base rate to use, 7%, where it was in the fourth quarter or would you expect it to be higher just because you’re exiting some of the others?
Allan P. Merrill : Well certainly the drag effect of the exit markets will be greatly reduced in subsequent quarters so I think you should look at the segment information. The difficulty of course is segment comparisons Q3 versus Q4 aren’t necessarily meaningful because you can have mix changes within segments but for sure you should adjust for the weight of those exit markets.
Joel Locker - FTN Securities: Then just a follow up on the SG&A, do you have a number for the litigation fees that were involved in the fourth quarter SG&A?
Allan P. Merrill : I think it was about $6 million.
Joel Locker - FTN Securities: About $6 million?
Allan P. Merrill : Yes.
Operator: Our next question comes from Larry Taylor – Credit Suisse.
Larry Taylor – Credit Suisse: You had talked about reducing unsold home inventory to [inaudible] during this coming year. You’ve already brought it down below 1,000 units, how much more do you think is a possible goal there?
Ian J. McCarthy : Larry, I think you have to look at the number of communities that we have open at any one time. Certainly we can only bring it down so far per community but there may be some communities that we have to restrict selling in but not build and only build to order in those communities. I think most of the unsold inventory have come through cancellations right now so I think we will just monitor that very closely right now. It’s certainly one area that we’ve got to keep a close eye on in terms of our liquidity and the amount we spend out there and how much we can pull back from that. But, it’s certainly alright that we’ve pulled it down a lot over this fiscal 2008 but our ability to do that going in to 2009 I would say also depends on the number of communities open with active selling in them.
Larry Taylor – Credit Suisse: So you don’t have a target or a specific level that you’d try and get to?
Allan P. Merrill : No, what we’ve tried to do is keep it in context of the business, where selling patterns and absorption rates are. I think you’ve seen the reduction really is fairly parallel with the reduction in backlog. I think that’s not entirely by accident. I’d also say it’s not entirely by design. But, that’s probably a reasonable barometer to think about that number.
Larry Taylor – Credit Suisse: Then just very quickly, was there any impact from the down payment assistance program ending in the quarter? Did that pull any demand or any comments in that area?
Ian J. McCarthy : Well, I think there may have been some positive effect in the September quarter in terms of people trying to close their homes and use the benefit of down payment assistance. I think it’s difficult to assess the impact in this quarter because so many other external factors have impacted the buying environment. I think I would believe that it certainly has had a negative impact but I think the external shock to the market has been more of an influence than the loss of down payment assistance.
Larry Taylor – Credit Suisse: Do you have the percentage in the September quarter of [inaudible]?
Ian J. McCarthy : We don’t have that number.
Operator: Our next question comes from [Alex Bering - Agency Trading Group].
[Alex Bering - Agency Trading Group]: I wanted to ask you as it pertains to your impairments I’m wondering what percentage of your communities that you guys have right now have been impaired at least once?
Allan P. Merrill : Well, during 2008 we impaired about 60% of our communities.
[Alex Bering - Agency Trading Group]: My other question has to do with your covenants and I was just wondering given the impact of the deferred tax assets on your equity I was wondering if you could update us on what your current covenants say and which ones I guess are you guys closest to having less cushion on?
Allan P. Merrill : There will be I think a very detailed discussion of this probably longer than the one we have time for on this call in the 10K but I would generally say that the revolver was structured such that there was the opportunity to reduce the facility if the net worth came below $350 on a tangible basis, and it did. The covenant level is at $100 million and our tangible net worth under the covenant definition was a little over $300 million. Other than $120 million liquidity covenant that’s really the only maintenance covenants that we have.
[Alex Bering - Agency Trading Group]: So what would happen if you did fall below $350 then?
Allan P. Merrill : Well, we are below $350 and so the facility size was reduced or will be effective with the filing of our 10K today from $400 million to $250 million. That was built in to the agreement so it’s not a covenant breach it is a ratchet that we had established that the facility size was tied to the tangible net worth level.
Operator: Our next question comes from [Chris Cook – Inaudible].
[Chris Cook – Inaudible]: With respect to your cash position now close to $600 million and your debt trading where it is, could you give us a quick update on how you intend to address the balance sheet?
Allan P. Merrill : Well, I made a general comment that we are actively studying options but, I also said and it’s very important that it is our continuing and current intent to attempt to resolve matters with the Department of Justice and other governmental agencies prior to engaging in any transactions to address the capital structure and that continues to be our belief as of today. We are not immune to or unaware of both the optics of what the balance sheet looks like nor are we ignorant of what’s happening in the market with other issuers but at this time we don’t have intent to take action on that until we’re able to resolve matters with the regulatory authorities.
Operator: Your last question comes from Joel Locker - FTN Securities.
Joel Locker - FTN Securities: Just two follow-ups, on the land held for sale do you have any open contracts that will close in say the first quarter or second quarter of fiscal ’09?
Allan P. Merrill : I don’t have that at my fingertips. We would have letters of intent on a good portion of it but whether or not they’re definitive agreements as of today I don’t know. We’ve been fairly successful in moving through that land held for sale and I expect we can be during fiscal 2009 but I’m not comfortable giving a quarterly forecast on the receipt of those proceeds.
Joel Locker - FTN Securities: Is it a substantial amount of the $85 million?
Allan P. Merrill : We are having active substantive discussions on essentially every single asset in there. Again, whether it’s a LOI or a definitive agreement, I don’t know off the top of my head but all of the assets that are in that category are being actively marketed and are under active negotiation today.
Joel Locker - FTN Securities: The income tax receivable, I guess $173 million differs a little than the $150 million expected tax refund. Can you just walk me through that an explain what the difference is there?
Robert L. Salomon : The difference between the $150 that we’ve been talking about and the $173 relates to receivables unrelated to our carry back for the FY08 tax return. There are some items prior to ’07 that we’re still working with the IRS and there’s a couple of state receivables that we haven’t received yet that we have not projected to be early in ’09.
Joel Locker - FTN Securities: So if those get resolved you could get those maybe later in ’09?
Robert L. Salomon : That’s correct.
Joel Locker - FTN Securities: Just the last thing, I guess the impairments I would expect to be a little larger just based on the gross margins. I was just wondering how come they weren’t a little larger than the $45 million or so?
Allan P. Merrill : I know that we’ve talked before about the process that we go through and it’s an aggregate cash flows above or below book value. At this point we would have cycled through a significant majority of our communities being impaired one time over the last two years and so you end up in a situation where as home prices recede the margins that you thought you might get after impairments you’re not getting any more but they’re not so bad as to warrant further impairment. That’s really the thing that makes it very difficult to estimate just on the basis of gross margins what impairments should be.
Operator: There are no further questions. I’d like to turn the call back over to Mr. McCarthy.
Ian J. McCarthy : I’d just like to take this opportunity to thank all of you for joining us today. The recording of this conference call with the slide presentation will be available this afternoon in the investor relations section of our website at Beazer.com. Thanks very much.